Karen Pape: Welcome to the 2012 fourth quarter conference call for Genesis Energy. Genesis has three business segments. The Pipeline Transportation Division is engaged in the pipeline transportation of crude oil and carbon dioxide. The Refinery Services Division primarily processes sour gas streams to remove sulfur at refining operations. The Supply and Logistics Division is engaged in the transportation, blending, storage and supply of energy products, including crude oil, refined products and CO2. Genesis’ operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides Safe Harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those Safe Harbor provisions, and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I would like to introduce Grant Sims, CEO of Genesis Energy LP. Mr. Sims will be joined by Bob Deere, Chief Financial Officer; and Karen Pape, Chief Accounting Officer.
Grant Sims: Thank you and welcome to everyone. This quarter, we are pleased to report yet another record of available cash of approximately $50.5 million, a 10% increase over last quarter and approximately 35% more than the year-ago period. Our results reflect the continuing impacts of our efforts to identify and secure new opportunities, for our partners to participate in the growing demand for integrated services and capabilities. These new opportunities have created volume growth, probably the most critical operating metric for us. This growth, in combination with extremely low exposure to volatile commodity price levels, whether absolute or relative, has resulted in consistently increasing available cash before reserves. Our measured stable growth allowed us to increase our distribution to unit holders for the 30th consecutive quarter, 25 of which have been 10% or greater over the prior year quarter and none were less than 8.7%. Over the last year, we integrated an approximate 50% expansion of our crude oil trucking fleet. We continued to work to safely and responsibly optimize the use of those assets. We fully integrated the FMT Marina since we acquired it in 2011. Our $205 million acquisition of offshore crude oil pipelines from Marathon Oil in January of 2012 was done at a first year multiple of less than seven times. Production from several fields dedicated to our Cameron Highway Pipeline is the offshore Gulf of Mexico began to ramp back up in August 2012, after an extended period of maintenance on certain third party operated surface and sub-sea production facilities and a total of three point levels on the pipelines have returned to levels last thing in the first quarter of 2011. We continue to receive unit trains of crude oil at Walnut Hill, Florida for further delivery on our Jay Pipeline System and we anticipate our new tanker related facilities to be fully operational in March of 2013 following a plan before return around at our primary customers’ refinery. At our new crude oil loading facility outside Wink, Texas in the Permian Basin, we’ve continued to support manifest service of crude oil volumes over the last several months in January-February loaded our first full unit train. Construction of our tanks and expanded trucking capabilities remains on track to be fully operational by late in third quarter, early fourth quarter of 2013. At our terminal in Natchez, Mississippi, we abstained and unloaded into tank the first rail cars loaded and fitchum [ph] and dilbit originating in Alberta, Canada. As volumes continue to ramp up, we have begun loading barges for further shipment to our refinery customers along the Mississippi River. We have taken delivery of our first 100 crude oil rail cars and anticipate receiving another 400 by the end of the third quarter of 2013 which we use to support our loading and unloading rail facilities. We have commissioned our new crude oil terminal and barge dock in Texas City. We would expect the terminal and barge dock to see increasing levels of throughput in latter half of 2013 upon the completion of our new 18-inch pipeline from Webster to Texas City in the late second quarter or early third quarter this year. We placed an order for four new build asphalt and crude capable barges to support our expanding service capabilities at our Natchez and Texas City terminals. Along with either a new boat or a major refurbishment of one of our existing boats, this $20 million to $25 million integrated investment should contribute in late 2013 and into 2014. We’ve entered into an agreement with a local refinery in Wyoming which will support our investment to expand and place in the service certain segments of our crude oil gathering system in the Niobrara Shale development in Wyoming. The start-up operation is expected in the second quarter of 2013. Construction has commenced on the SECKO Lateral and the Keathley Canyon area of the deepwater Gulf of Mexico and we expect significant contribution from this investment beginning July 2014. We believe given the current available capacity in our portfolio of offshore pipelines that we are well positioned to benefit from the dramatically increasing levels of development activity in the deepwater Gulf of Mexico. Last week, we announced plans to invest approximately $125 million to improve existing assets and develop new infrastructure in Louisiana, connecting to ExxonMobil Corporation’s Baton Rouge refinery, one of the largest refinery complexes in North America. There’s more than 500,000 barrels per day of refining capacity. Our investment includes improving our existing terminal at Port Hudson, Louisiana constructing a new 18-mile, 20-inch diameter crude oil pipeline connecting Port Hudson to the Baton Rouge, Maryland terminal and continuing downstream to the Anchorage tank farm and building a new crude oil unit train unloading facility at the Maryland terminal. The Port Hudson upgrades a new crude oil pipeline are expected to be completed by the end of 2013 and the Maryland terminal completion is scheduled for the second quarter of 2014. We believe all of these initiatives and endeavors will contribute to our ability to generate increasing amounts of available cash in the coming years. With that, I will now turn to Bob to discuss our reported results in greater detail.
Bob Deere: Thank you, Grant. In the fourth quarter of 2012, we again increased available cash before reserves to a record of $50.5 million dollars, representing an increase of $13.1 million or 35% over the fourth quarter of 2011. Adjusted EBITDA also increased $16.5 million to $28 [ph] million or 36% over the prior year quarter. The partnership reported net income for the quarter of $26.9 million or $0.34 per unit compared to $7.8 million or $0.10 per unit for the same period in 2011. The increases in our pipeline and transportation and supply and logistics segments help guide our fourth quarter results. But overall, total segment margin increased to $73.3 million, an increase of $20.6 million or 39% over the prior year period. Results from our pipeline and transportation segment improved to $9.8 million or 57% between the fourth quarter periods primarily from the contribution of our interest in the Gulf of Mexico pipelines that we acquired in January of 2012. The acquired interest in the Gulf of Mexico pipelines added approximately 272,000 barrels per day at throughput. The contribution of the Cameron Highway Oil Pipeline System of CHOPS, increased as ongoing improvements being made by producers at the connected fields were substantially completed late in the 2012 third quarter. Our onshore pipeline contribution grew as a result of a combination of increased volumes on our Texas System due to increase demand from our primary customer, Marathon, Texas City Refinery. Additional volumes transported on our Jay System primarily as a result of the initiation in August 2012 of our Walnut Hill, Florida Crude Oil train unloading facility. Tariff increases on our FERC-regulated crude oil lines, and increase volumes on our free state CO2 pipeline. Our supply and logistic segment margin increased $11.1 million or 70% to $26.8 million in the fourth quarter of 2012. The increase in segment margin is primarily from the contribution of the Blackgold Barge transportation assets that we acquired in August 2011 and February 2012, as well as increased volumes handled by our expanded trucking and barge fleets. Our total volumes of crude oil and refined products increased by 48% to over 100,000 barrels per day due in large part to these expansions. The refinery services segment margin for the 2012 quarter decreased $400,000 or 2%, primarily due to the timing of NaHS sales to South American customers. In late 2011, we experienced a high volume of sales to these customers. Sales volumes to customers in South America can fluctuate due to the scheduling of shipments. NaHS sales revenues decreased $3.7 million primarily due to a decrease in the sales volumes. This is partially offset by an increase in the average index price or the cost fix up. The average index price rose 5% to $603 per [inaudible] short term [ph]. The pricing in our sales contracts for NaHS include adjustments for fluctuations in commodity benchmarks, freight, labor, energy cost and government indexes. The frequency of at which of these adjustments are applied varies by contract, geographic greasing and supply point. Our raw material cost related to NaHS increase corresponding to the rise in the average index price for caustic soda. However, operating efficiencies realized at several of our sour gas process and facilities, as well as favorable management of the acquisition and utilization of caustic soda in our and our customers’ operations, help offset the overall decrease in segment margin. Interest cost, corporate general and administrative expenses, maintenance capital expenditures and income taxes to be paid in cash affect available cash before reserves. Interest cost increased in the fourth quarter of 2012 as compared to the fourth quarter of 2011 – I’m sorry, interest cost increased in the fourth quarter of 2012 as compared to the fourth quarter of 2011 by $2.5 million primarily as a result of increased borrowings to fund our internal growth projects and acquisitions and the issuance of $100 million of additional notes in February 2012. However, capitalized interest cost of $1.4 million attributable to our growth capital expenditures and investment in the SEKCO pipeline joint venture partially offset the increase in interest expense, resulting in a net increase and interest expense recognized in our presentation of available cash of $1.1 million. Corporate cash, general and administrative expenses increased by $4.1 million primarily as a result of personnel additions and other cost to support the growth of the partnership. Additionally, increases in the market price of our common units and the number of equity-based awards outstanding due to the growth and the number of our employees affected expenses related to our equity-based compensation plans. Proceeds from the sales of surplus assets increased $1.9 million for the fourth quarter 2012 for the comparable 2011 period. In addition to the factors impacting available cash before reserves, net income includes the effect to several non-cash charges and credits. Depreciation and amortization expense decreased $3.4 million between quarterly periods, corresponding to the decline in our net unamortized balance of intangible assets. Net income also includes the effects of unrealized gains or losses on derivative contracts that are not included in available cash until they are realized. In the 2012 quarter, non-cash unrealized losses totaled $1.3 million compared to non-cash unrealized losses of $5.4 million in the 2011 quarter. In addition, income tax benefit decreased $1.2 million between the quarterly periods. Grant will now provide some concluding remarks to our prepared comments.
Grant Sims: Thanks, Bob. As we discussed on the release last week, we completed an offering of $350 million of senior unsecured notes and used the proceeds to pay down borrowings under our revolving credit facility and for general partnership purposes, giving us approximately $800 million of availability under our revolving credit facility to comfortably be able to complete all of our announced projects without having to issue equity. Taking all these things into considerations, we believe we are well-positioned to continue to achieve our goals of delivering low-double-digit growth and distribution, an increasing coverage ratio, and a better-than-investment grade leverage ratio, all without ever losing sight of our commitment to safe, reliable and responsible operation. As always, we’re proud of our opportunity to work with a great group of folks and their immeasurable contributions. With that, I’ll turn it back to the moderator for any questions.
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator instructions) Our first question comes from the line of TJ Schultz with RBC Capital. Please proceed with your question.
TJ Schultz – RBC Capital: Hey, guys, good morning. Good quarter. I guess this first, Walnut Hill, maybe if you can tell us how many unit trains per week you’re receiving now, and then just give a little bit more color on your capabilities, on some of the tanks in storage or sets, and then kind of timing of customer turnaround that you talked about. I guess it sounds like most of this will basically be set to go into the second quarter, is that right?
Grant Sims: The turnaround is in the first quarter, which is mid-February through mid-March. So both Walnut Hill and the Florida System will be, in essence, down during that turnaround period, but we use that opportunity to tie in our tanks and fully integrate the Walnut Hill with our Florida pipeline operations. We would reasonably expect that kind of a minimum run rate once it comes back up, call it two to three trains a week. But we’re working on some other things, I mean, we have the capability ultimately to handle up to a train a day. We just the day before yesterday reactivated our interconnect with the facilities of Plains All American over in that part of the world and would have the opportunity, we think, to potentially provide real service to some of the customers downstream on the Plains system.
TJ Schultz – RBC Capital: Okay, thanks. I guess just moving to the Natchez terminal. I guess you’ve unloaded the first real cards here. A couple of questions. I guess, first, can you give any indication of initial volumes and kind of expectations going forward. And then, do you need firm agreements right now for us of your barges or backhauling? I guess, if that is dependent on some of these new Hill barges that you’re talking about or if there is anything in the interim?
Grant Sims: The volumes are expected to ramp up to 24 hours and given the way that the dilbit, it’s probably closer to 550 to 600 rails per car by sometime in the third quarter, based upon the production from our [inaudible] tenant, which is a Canadian producer. We have not yet at this point attempted or loaded the rail cars with diluent, although we have that capability to back haul diluent into the diluent pool and Canada. Our barges are basically used to move or unloading the rail cars into tank and loading it onto barges to move the dilbit down to refinery customers.
TJ Schultz – RBC Capital: Okay. Are those your barge – I mean, those are your barges? And I think you said four new built barges, is that correct? And that’s the $20 million to $25 million spend by late ‘13.
Grant Sims: That includes the cost of either acquiring a new boat or a major refurbishment of one of our existing boats, but, yes, we have loaded our own barges, attaches at this point.
TJ Schultz – RBC Capital: Okay, thanks. I guess just lastly on your distributions. You guys have been very consistent with kind of the year-over-year increases between 10% and 11% over the past few years. I guess just moving forward given a lot of these projects you have in front of you and some of the Gulf volumes coming back, do you have any comfort level to look at an uptick on this type of range? I know you said low-double-digits, or are you kind of comfortable keeping it in that 10% to 11% range and building some coverage while you have some of these opportunities to reinvest?
Grant Sims: I think we view 10% to 11% as a good long-term stable target and to the extent our coverage ratio increases as a result of the performance of our business, we use that excess coverage and estimates as equity capital for purposes of funding our portfolio of organic opportunities, which we believe just create value in the out-years to be able to continue to meet those financial goals of delivering that visible distribution growth.
TJ Schultz – RBC Capital: Okay. Thanks, Grant.
Operator: Thank you. Our next question comes from the line of Paul Jacob with Raymond James. Please proceed with your question.
Paul Jacob – Raymond James: Good morning, guys.
Grant Sims: Good morning.
Paul Jacob – Raymond James: Relative to the reported volumes on the CHOPS system, would it be fair to say that based on your guidance that we could see another 20,000 barrels per day this quarter? And then, how do you see volumes rounding out over the remainder of the year for your offshore systems?
Grant Sims: It seems to have settled in around these numbers. They’re still kind of ongoing work, which is really what we believe to be prefatory to a resumption of development drilling. We can’t give any specific guidance if you will on when that development drilling will resume. But as we’ve stated that these levels of flow, reproduction coming off of the two major installed production facilities are using about 40% to 45% of their installed production handling capability. Meaning that with resumption of development drilling that when that occurs, when it starts and when it is recognized, we can’t control the timing of that [ph]. But near-term we would expect towards the end of this year and certainly in ‘14 to start seeing the effects of that. As BPs who knows the operator, they have designated Mad Dog and Atlantis which are the two big fields dedicated to CHOPS. It’s kind of two of their four central development hubs [ph] for near-term increase production out of their deep water portfolio.
Paul Jacob – Raymond James: Okay. I appreciate the color on that. And then when thinking about your early gathering system in the Powder River Basin, do you have contracted volumes there to take crude out of the area? And have you think about the time frame for mobilizing the crude out of [ph] Casper perhaps, the truck or rail volumes, alternative destinations?
Grant Sims: I think we reference that at our prepared remarks that we have entered into an agreement with a refinery in Casper to extend our system, to inter-connect with their system. We think that that will be operational in the second quarter of 2013. So we will have access to the Casper refining market as well as our small Newcastle [ph] refinery in Wyoming, which will allow us to initially get volumes on pipe and redeploy the trucking efforts [ph] to continue to gather. And we think it’s a very good kind of first mover position out there. And it will give us the opportunity to evaluate other export type opportunities beyond tying in to the local refining market.
Paul Jacob – Raymond James: Okay. And then last question for me is can you give us just update [inaudible] from country [ph] refining project, are you making any progress there or is that on hold right now? And is there any opportunity to extend off that asset to create gathering systems or perhaps creating hub?
Grant Sims: I think that the refinery is operational. We have an exclusive crude oil supply arrangement to the refinery. Under certain conditions we had the opportunity to participate in the hub side from the cracking of the oil so to speak. Our original hypothesis was that yes, we would develop kind of a gathering marketing hub centered around that area. But by the time we kind of evaluated where we were, we’re fairly light to the party. So we are basically, probably at this point just wanting to play out the exclusive supply arrangement which had an initial term of three years [inaudible] two years left on it. As well as the potential participation kind of in the after payout trucks for it [ph].
Paul Jacob – Raymond James: Okay. Thanks, I appreciate it.
Grant Sims: Yes.
Operator: Thank you. Our next question comes from the line of Brian Zarahn with Barclays Capital. Please proceed with your question.
Brian Zarahn – Barclays Capital: Good morning.
Grant Sims: Good morning.
Brian Zarahn – Barclays Capital: On the ExxonMobil project, can you give us a little color as to maybe a range of expected returns?
Grant Sims: Obviously a lot of our commercial terms and conditions are very confidential. But I think that it’s fair to say that organic opportunities which is what we focus on, we target internally kind of mid-single digit multiples. And based upon what we perceive to be very legitimate upside opportunities that we can drive those multiples to below 4 or 5.
Brian Zarahn – Barclays Capital: Okay. Will that be sort of a first year multiple or the ramp up period to get to that [inaudible]?
Grant Sims: Probably be a gradual ramp up period. But maybe going starting that first year in high-single digits is not a bad start [ph] process.
Brian Zarahn – Barclays Capital: And then in terms of the real terminology looking to build [ph], so what area? What type of crude do you expect? What region is expecting to real crude to the Meraux [ph]?
Grant Sims: It can handle a variety of things. But the particular location at Maryland among others is on the Canadian National Main Line. That Meraux [ph] refinery is a very complex refinery. So we would be anticipating that large amount of the drilled barrels are a fetch them in [ph] derivative dilbit coming in from Canada.
Brian Zarahn – Barclays Capital: Okay. And then can you give us a sense of where you expect the expansion maintenance CapEx to be in 2013?
Grant Sims: Maintenance CapEx is basically $4 million to $5 million. It’s what flows through to what we present as maintenance capital. We are quite aggressive in terms of expensing above the line our maintenance and repairs. So I mean, obviously when we’re running 300 drops and 22 push boats and stuff, we have significantly more conventional maintenance and repair than the $4 million or $5 million a year. But we expense that above the line. Typically what comes down to maintenance capital would be, if we have to do the significant capital improvements to terminals. And kind of extend the useful life that’s what flows through to the maintenance. On growth capital, I think that we are with what’s has been announced to date, including the barges that we just talked about today. We are between 300 million and 325 million for 2013 growth capital.
Brian Zarahn – Barclays Capital: Thanks, Grant.
Operator: Thank you. Our next question comes from the line of John Edwards with Credit Suisse. Please proceed with your question.
John Edwards – Credit Suisse: Yes. Good morning everybody.
Grant Sims: Good morning.
John Edwards – Credit Suisse: Grant, just to clarify Brian’s question on the growth capital the 300 million to 325 million for ‘13, so that includes your contribution to the JV–
Grant Sims: SEKCO.
John Edwards – Credit Suisse: –SEKCO, yes.
Grant Sims: Yes. It’s done [ph].
John Edwards – Credit Suisse: Okay, great. And then just curious on the, I guess in terms of refinery services the volumes coming in, is this kind of is this a pretty good run rate here with these volumes or can we expect that to take off a bit more?
Grant Sims: Well, I think it is difficult to look at the quarterly numbers as Bob mentioned, the bubbles if you will quarter to quarter are really reflected to the fact that when we make sales to South American mining operations, those are typically large sales. And in fact to the extent we got it for route [ph] that will be the US port. So depending upon the recognition of the timing of that, that kind of causes the quarterly bubble in volumes. We think that we’re kind of 145, 150,000 tons annual run rate. And as we’ve talked previously based upon contracted quantities that we have, I’m assuming that those customers stay on track with the expansion and development of mines both in North America and South America that we could exit 2014 to kind of the 10% to 15% above that kind of run rate number.
John Edwards – Credit Suisse: Okay. That’s helpful. And then I just notice the crude pipeline volumes were up quite a bit Q-over-Q for the most part just kind of your thoughts on go forward volumes there?
Grant Sims: The reason that Texas is up is because Marathon’s refinery in Texas City has a voracious appetite for light sweet crude oil. And in fact that’s the only pure light sweet crude oil refinery that’s done in upper Texas coast. And their appetite to move those barrels through our pipeline is using the line share of the capacity on our existing system, which is why we’ve entered into a new three-year TND agreement within Lupar Line [ph] with an new 18-inch line. The volume growth that you see on the Florida system is because the Walnut Hill rail barrels unload into the Florida system, and we get another coupon, so to speak, to move the barrels that are unloaded off the railcars through our pipeline and to our refinery customer.
John Edwards – Credit Suisse: Okay. So in terms of kind of outlook, what should we be thinking about similar growth rate tier for – I’m just trying to get an idea of what’s good to plug in or a model there.
Grant Sims: That’s why you get paid the big bucks.
John Edwards – Credit Suisse: Yes.
Grant Sims: The Texas system is virtually running its capacity, which is why we can’t move more barrels either through merit bond or to our Texas City terminal until we get our new pipeline in place and in service, which we anticipate to be late second quarter, early first quarter. So we can’t grow Texas anymore. That’s a practical matter than what it’s running as a practical 100% utilization. Our volumes on our Florida system is real volumes increase, or assuming that they do increase, then we will see the corresponding that we unload the trail to 70,000 barrels. And then it’s got no place to go except through our pipeline. So it gets pumping down our pipeline, so we can see growth on the Florida system consistent with the growth that we would expect to see in our Walnut Hill rail facility.
John Edwards – Credit Suisse: All right. Great. Fair enough. Thanks. That’s helpful.
Operator: Thank you. Our next question comes from the line of Ethan Bellamy with R.W. Baird. Please proceed with your question
Unidentified Analyst: Good morning [inaudible] for Ethan Bellamy. I just have one question here. Can you outline how much time if any of the partnership is spending on corporate M&A given the rich backdrop of internal growth opportunities that you have at present? Thank you.
Grant Sims: We don’t actively participate in M&A activities. I think two largest third-party acquisitions that we’ve done in the last two years, which was the FMT black oil barge acquisition in July of 2011 for $140 million and the Marathon acquisition in January 2012. Both were non-marketed, negotiated arrangements which we believe were at less than seven times deals. And as a result, given the portfolio of organic opportunities that we see that as we set a response to an earlier question that typically we believe them to be in the mid-single digit type multiples with the potential to grow them into low single digit type multiple. So that’s a much better area for us to focus our attention in participating in frocking market and M&A transaction.
Unidentified Analyst: Understood. Thank you.
Grant Sims: Thank you.
Operator: (Operator instructions) There appear to be no further questions at this time. I’d like to turn the floor back over to management for closing comments.
Grant Sims: Okay. Well, thank you very much for your participation and we’ll talk to you in the 90 days or so; if not, sooner. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.